Operator: Good day, and welcome to the Carvana First Quarter 2020 Earnings Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, today’s event is being recorded. I would now like to turn the conference over to Mike Levin, Vice President of Investor Relations. Please proceed.
Mike Levin: Thank you, Eric. Good afternoon, ladies and gentlemen, and thank you for joining us on Carvana's first quarter earnings conference call. Please note that this call will simultaneously be webcast on the Investor Relations section of the company's corporate website at investors.carvana.com. The first quarter shareholder letter is also posted on the IR website. Joining me on the call today are Ernie Garcia, Chief Executive Officer; and Mark Jenkins, Chief Financial Officer. Before we start, I would like to remind you that the following discussion contains forward-looking statements within the meaning of the federal securities laws, including, but not limited to, Carvana's market opportunities and future financial results that involve risks and uncertainties that may cause actual results to differ materially from those discussed here. A detailed discussion of the material factors that cause actual results to differ from forward-looking statements can be found in the Risk Factors section of Carvana's most recent Form 10-K and Form 10-Q. The forward-looking statements and risks in this conference call are based on current expectations as of today, and Carvana assumes no obligation to update or revise them, whether as a result of new developments or otherwise. Unless otherwise noted on today's call, all comparisons are on a year-over-year basis. Our commentary today will include non-GAAP financial measures. Historically, we’ve used the non-GAAP measure ex-Gift, which excludes the impact of the 100,000 milestone gift to our employees, but beginning this quarter that program has concluded and is no longer material to our results. And so any metrics for this quarter referenced on the call today will be inclusive of the 100,000 milestone gift. You can find the 100,000 milestone gift impacts called out in our reported financials. Reconciliations between GAAP and non-GAAP metrics for our reported results can be found in our shareholder letter issued today, a copy of which can be found on our Investor Relations website. And now with that said, I'd like to turn the call over to Ernie Garcia. Ernie?
Ernie Garcia: Thank you, Mike, and thanks everyone for joining the call. This has been a quarter unlike any we face as a company. The onset of the pandemic has led to unprecedented changes in our health and behavior, which in turn has significant and currently unquantifiable impact in the economy. Accordingly, we will spend less time than we normally would discussing the specifics of the quarter. I will briefly hit on where we sit today and then spend more time discussing the ways we've reacted so far and the ways we are thinking about and planning for the future. We began to see significant reductions in demand in the back half of March with a sales trough in early April at approximately 30% reduction in sales year-over-year. From there, we have consistently improved week-after-week with sales in the most recent weeks being up about 20% to 30% year-over-year. It is difficult to get clear visibility into exactly how the industry performed over the last several weeks, but every indication that Carvana has outperformed the industry quite significantly and grown our market share accordingly over this period. You believe part of this outperformance has been driven by transitory factors and that part of it has been driven by customer preference changes due to the pandemic. We don't yet know how precise these customer preference changes will be, but we are optimistic. Due through medium-term lens, we believe customer behavior shifts are likely to accelerate our progress. Now, let's turn to how we've reacted so far. In early March, it became clear that we were dealing with a very significant event. At that time, we determined that we were fighting a battle with two fronts: health and financial health. Our first priority is the health front, keeping our team and our customers safe. Along those lines, we have enacted work from home for corporate and customer care teams, have reconfigured our inspection centers and field locations to support social distancing, adopted CDC guidance and implemented a touchless delivery experience for our customers. The second front is the financial health front. Here we've had three primary goals to align expenses with this new environment, to manage our risks and uncertainties thoughtfully and to ensure we preserve and continue to progress in those areas that are most important to our long-term success. We came into the pandemic expecting our biggest absolute unit growth year yet and with the business positioned to deliver on those goals. Demand shock we started to see in mid-March has obviously necessitated some significant and difficult changes. In order to align expenses with the new environment, we eliminated overtime and travel budgets, reduced hours and pause hiring. Another important component of our strategy for managing through this has been to carefully manage our risks and uncertainties. We view the most important areas of uncertainty during this period to be industry demand levels, the credit and capital market environment and inventory values. In an effort to manage demand uncertainty, we moved quickly on expense management, rolled out new commercials tailored to this environment, implemented a 90 day payment deferment promotion for our customers and designed our expense reduction initiatives to be impactful while also being easily reversible to enable us to adopt or adapt to different demand scenarios. We've also been active in managing our credit and capital markets risk. In late March, we tightened credit significantly on the loans generated on our platform. In addition, we upsized our forward flow purchase agreement with Ally to $2 billion and broaden the set of customers covered under the agreement and we completed a $600 million common stock offering to fortify our balance sheet. We view inventory values as another area that we want to be purposeful about managing. We ceased all purchases except for customer trade-ins in late March, which in combination with our outperformance and sales relative to the industry have reduced our total inventory by about 30% in just five weeks since the quarter ended. This significantly reduces our exposure to inventory purchase prior to the pandemic. As we bring down expenses and manage our risks, we are also continuing to extend our leadership in the areas that are most important to our long-term success. The single most important is the quality of our customer experiences. Our customer experiences have three primary drivers: our culture, our technology and our supply chain. We are continuing to invest in our technology to make buying a car even easier, more fun and safe for our customers. This in turn enables a different more efficient supply chain than it's traditionally existed in automotive retail. We're also continuing to fill our real estate pipeline while holding off on growth CapEx, so we are prepared to return to rapid growth when the time is right. Culture is at the top of the list of drivers of our long-term success is at the top for a reason. Everything we do, all the things that come together to deliver incredible customer experiences are done by our people. People in the relationships and processes to connect them are the great fundamental in any business. An environment like this is a test for any culture. You learn more about people and more about a culture during these moments of intense direct pressure. Before I tell you what we've learned so far, I want to tell you what we hope. In mid-March, we set a goal that we would come out of this stronger that we, our entire team across the country, would look back on this time as a period that we came together. To achieve this, we decided to use our values, most extensively our value we're all in this together as the lens for making tough decisions. We contend into the pandemic poised for tremendous growth. This obviously made aligning expenses with this environment difficult. The only way we could achieve it was to significantly reduce hours for thousands of people across the company. And this was undoubtedly the hardest and most painful decision any members of our management team have ever had to make. It's an unfortunate reality. The right decision for Carvana given all of our goals was to reduce the hours of the operators that work so hard every day to deliver the customer experiences that define us. That reality did not align with our value on this together. So we set up a fund where people across the company could volunteer a portion of their salaries that would go into this fund and offset lost wages for those lost hours. We had hundreds and hundreds and hundreds of people across the company voluntarily contribute their wages into the fund, including the board of directors and the executive team that all contributed 100% of their salaries during this time. I think there is no clear expression of our culture than this. In fact, many of the contributions came from people who lost hours themselves, but who knew others needed a hand more than they did. Really think about that for a minute. In a time of fear and uncertainty, these people who are dealing themselves with reduced income decided to give more. They did it because they’re incredible people. They did it because they're part of something and they did it because we're all in this together. And the fact that they did it that so many did it is something that I think the entire team at Carvana should be tremendously proud of. This is the strongest and fondest memory I'll take from all this. Difficulty rarely leaves things that they were. It tears groups apart or brings them together. We've been brought together. There are undoubtedly more challenges lie in front of us, but we head into those challenges confidently because the people standing beside us. Mark?
Mark Jenkins: Thank you, Ernie, and thank you all for joining us today. Q1 was a strong quarter for Carvana in light of the extreme disruption to our nation, industry and company brought on by COVID-19. Retail units sold in Q1 totaled 52,427, an increase of 43%. Total revenue was $1.1 billion, an increase of 45%. Both of these numbers reflect significant gains in market share, which are continuing through April and the first week of May. Total gross profit per unit was $2,640 in Q1, an increase of $232. Our growth in GPU was driven by strong retail GPU, which increased $299 to $1,581, our highest ever driven primarily by buying cars from customers. Wholesale GPU was $23, a reduction of $60, primarily impacted by declines in industry-wide wholesale prices in late Q1. Other GPU was $1,036, a decrease of $8. This included a $97 reduction in finance GPU to $528, offset by an $89 increase in ancillary products to $508. In March, we completed our first non-prime securitization and sold our prime loans that were originally intended to be part of our two shelves securitization program under our existing forward flow agreement. While lower than recent quarters, we believe our Q1 finance GPU demonstrates the resilience of our finance platform during an extremely volatile period. EBITDA margin was negative 12.6% in Q1, a decrease from negative 7.8%. EBITDA margin was significantly impacted by the reduction in demand brought on by COVID-19 during a key selling period in March. In addition, EBITDA margin in Q1 was impacted by 2.4 percentage points or $26 million due to COVID-19 related non-cash adjustments to asset carrying values that we do not expect to recur in future periods. In late Q1, we took several measures to better align our expenses with customer demand. Following the spread of COVID-19, we immediately paused discretionary growth investments including new hiring, travel and new facilities and IT investments. We also made the prudent, but difficult decisions to rebalance staffing and marketing to better match demand. Although we made these decisions early and quickly, lower volume outweighed the expense reductions and led to a 4.6% increase in SG&A as a percent of revenue. In light of the uncertainty generated by COVID-19, our expansion strategy has shifted to one that prioritizes risk reduction while also ensuring that we are prepared for growth when a normalized environment returns. We have paused acquiring new inspection and reconditioning centers and vending machines. However, we are continuing construction on IRCs that were already in process and that have existing sale leaseback agreements in place. Additionally, due to the positive customer response to our touchless delivery offering, we plan to open many smaller markets that could be served by our existing logistics and delivery infrastructure with limited incremental investment. Following quarter-end, we completed a registered direct offering of 13.3 million shares, raising $600 million and bringing our total liquidity resources on April 1st to over $1 billion. These liquidity resources provide us with significant flexibility to operate our business under a wide range of operating and macroeconomics scenarios. In addition, we upsized and extended our existing forward flow agreement with Ally providing additional flexibility to serve our customers. We expect 169 million on a fully exchange basis shares in Q2. As we look forward, we're focused on positioning the business to be lean and flexible as we march toward our long-term goals. Thank you for your attention. We will now take questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question today will come from Zack Fadem of Wells Fargo. Please proceed with your question.
Zack Fadem: Hi. I'm curious if you could talk us through the inventory management in a little more detail and how you went about that $500 per unit inventory charge. And then curious if you could talk us through whether the environment has evolved into Q2. And if you see any reasons to believe the GPU environment can improve from here?
Ernie Garcia: Sure. So I think in general, the way that we assess our inventory and determine its carrying value is, is a function of basically looking at what our pricing is. And then, what that means for what we're likely to receive in proceeds relative to the value that we acquired inventory at. And that's kind of a standard accounting framework for determining that. So that's how we go about assessing our inventory charges reserve level. In terms of how the situation has evolved, I think it's been a very dynamic situation in terms of what's going on with inventory pricing. We saw right when the pandemic hit basically volume kind of dried up in the wholesale markets pretty significantly dropped down to probably 20% of normal levels. It stayed down at those levels for a while. We've seen it more recently climb up to closer to 50% of its probably pre-pandemic expected levels over the last couple of weeks and that's been kind of a linear march up. We've also seen a wholesale pricing kind of move up a little bit over the last couple of weeks as well. We've seen sell-through rates, which is likelihood of any given car that's going through auction is actually sold to a buyer, also go up a little bit. So I think there has been some signs of stability there, but I think we still remain in a highly uncertain environment as it relates to vehicle values. And so, that's something that we're assessing very carefully in watching on the retail side. There's definitely been much more stability in pricing. So probably a number of technical reasons, but we've seen much more stability there. I think what we've attempted to do by stopping our purchases and kind of trying to push our inventory values or excuse me inventory levels down as quickly as we could, just make sure that we minimize our exposure to all that inventory that was purchased in the pre-pandemic world as we view that as a potentially large exposure. I do think we've had incredible progress there, marching that down 30% since the end of March. And so, I think, it's something that we're really excited about, but I do think it’s something we're paying very close attention to.
Zack Fadem: Got it. Thanks, Ernie. And then I wanted to talk about the 90 day no payment offer. I'm curious if you know all customers qualify for that and maybe you could walk through the impact there in terms of top line. And I was also curious how that works in terms of financing those receivables and if there's a delayed impact there on those transactions.
Ernie Garcia: Sure. So, on the 90 day promo that is something that there are qualifying requirements for that. So for many of the customers that are – are then being sold through our forward flow purchase agreement most of them are qualifying and then they have an option to elect into that or not in the loans that are not being sold through our forward flow purchase agreement, which is approximately a third of the loans that we’re originating today. A significant minority of the customers are qualifying for that. We do believe that's probably had a positive impact, I think quantifying it precisely is difficult in light of the many, many different things that we've done over the last several weeks to ensure that we're putting our best support in front of our customers. So I think that's been one of many steps that we've taken. The impact to GPU flows through finance GPU and so in the case of being sold to Ally that’s – that's something that is predetermined. And we worked with them given their experience with these kinds of offerings to customers in the past to size that appropriately. So that’s – how that's all been working.
Zack Fadem: Got it. I appreciate the time guys.
Ernie Garcia: Thank you.
Operator: Our next question will come from Colin Sebastian with Baird. Please proceed with your question.
Colin Sebastian: Great, thanks. And hope everyone there is safe and healthy. I guess one follow up on the April trends. How much have you been able to take advantage of some of the ad pricing deflation? How much has that been a catalyst for your ability to connect with potential buyers? And then looking beyond the current environment, I'm curious on what you think might be liquidity needs incrementally for the balance of the year in different scenarios around the economy. And in general, is the environment changing any of your strategic priorities, whether that's related to market expansions and vending machines, things like that? Thank you.
Ernie Garcia: Sure. So there has clearly been a reduction in advertising costs. And I think there's also clearly been an increase in impressions. More consumers are consuming more media than they historically have. And so, I think that cost per impressions have fallen pretty dramatically. I think that impact is at least directionally offset by the fact consumers are also purchasing less in this environment across the economy and up until several weeks ago especially in automotive, but we've clearly seen price reductions. Those price reductions have continued over the last month or so. And so, I don't think we know exactly where that's going to go, but it’s – there's clearly been reductions in the cost to get your message in front of consumers. And that's something that we'll continue to monitor very carefully going forward. Sure. And then on the liquidity question, I would start with the fact that we had about $1 billion, actually a little bit more than $1 billion in total liquidity resources as of April 1st falling close of our $600 million offering. That gives us ample resources to operate in even deep stress scenarios. I think that we think those deep stress scenarios are looking less likely than perhaps they were three or four weeks ago. But we have a lot of flexibility even in deep trust scenarios to operate flexibly. And then of course in upside scenarios have a lot of flexibility there as well. I think some of the drivers of that flexibility have been the operational changes that we have made to respond to the COVID-19 environment. Those include limiting capital expenditures, as I mentioned in my remarks, to focus primarily on inspection and reconditioning centers where we already have sale leaseback agreements in place. And then from an operating expense perspective obviously taking a number of steps to match our operating expenses to the current demand environment. And so, the combination of those things which really started to be put into action in the second half of March. And then, we're sort of playing out those plans through the second half of March and then through April leave us feeling really good about our liquidity position even in deep stress scenarios because of those levers that we have in the business.
Colin Sebastian: Thank you.
Operator: Our next question will come from Lee Krowl of B. Riley FBR. Please proceed with your question.
Lee Krowl: Great. Thanks for taking my questions. One kind of wanted to just kind of a high level of demand picture thoughts as we have arguably lower air travel coming over the holiday season of summer, thoughts on implied demand from more vehicles on the road, more miles driven. And then also just the – kind of thoughts around this shift in the tax date from April to July.
Ernie Garcia: On your first point, I think there's a lot of uncertainty and a lot of questions about what this new world means, both in the immediate term and in the longer term. I think what we’d say there's a lot of different data sources out there. You can read about your expectations that personal ownership actually accelerates as a result of all this and increases because more people don't want to take public transportation or choose not to partake and ridesharing. There are probably other effects like those outlined where people are traveling less in the air and taking road trips instead. I think all of those things are possible. They're very, very hard to size and they're very hard to rely on. I think what we are most excited about is first and foremost the market share that we've kind of always been planning to go after and take over time. We've been growing our business very quickly prior to this as a result of our extremely differentiated offering and all the customer preferences that that serves. And I think that in this new world, we now know the direction of a new customer preference, which is a preference for safety and minimizing unnecessary impact with other people that that customers don't know as well. We know that that's likely to push demand in our direction and aid our goals of increasing our market share. We don't know how strong that impact will be. We don't know how persistent it will be, but it's pretty clear that's a directional impact. And we think that overall when assessing Carvana what matters most is our market share gains. The market around us is extraordinarily large and we're still very, very small compared to that market. And then your second question, would you mind clarifying? I'm not sure I totally understood…
Lee Krowl: Yes.
Ernie Garcia: Okay, perfect. Yes, so we – the tax date, do you mean tax refunds that showed up a week or so later this year, is that what you're referencing?
Lee Krowl: Correct.
Mark Jenkins: So, perhaps you're referencing the change in the filing deadline from [Technical Difficulty] 15 to July 15th. I think that could have some impact on customer behavior. We did see some tax refund, certainly come through before COVID-19, really came into force in the U.S. in Q1. But I think that any impacts from the shift in the deadline from April to July, I would think would just be very much melded in with the probably much bigger impacts that come from shelter-in-place orders being lifted, consumers starting to get out there and spend again. I think it will be hard to disentangle those impacts. And so I – and I actually think that COVID impacts well. We’ll win out over any impacts related to the tax deadline shift.
Lee Krowl: Got it. Thanks for taking my questions.
Operator: Our next question will come from Brian Nagel of Oppenheimer. Please proceed with your question.
Brian Nagel: Hi. Good afternoon. Thank you for taking my questions. So the first question I wanted, I guess, it's more geared towards, Mark, just on the financials. Clearly as you talked about a lot, significant disruption here in the first quarter, but as we look at that quarter and some of the areas of costs, are there larger callouts that we should be thinking about as we try to get to what would have been a more normalized earnings trajectory for Carvana, either positives or negatives call out as the – as the business, had to flex in the second half of the month of March?
Mark Jenkins: Sure. Yes. So the largest expense callout is the adjustment to asset carrying values totaled about $26 million that I alluded to in my prepared remarks. That was really split between two things. The larger portion was related to adjustments in the valuation of finance receivable related assets that we hold on our balance sheet, obviously the end of March, which is when we do that evaluation was a very turbulent time in financial markets. And so we took an adjustment to some finance receivable related assets that we hold on the balance sheet. The second largest category was we did observe toward the end of March, significant changes in the wholesale trading prices of used vehicles. And then we also saw a significant reduction in demand, which changed some of our expectations about the number of days to sale that we expected to experience in our retail business. And so when taking both of those things into consideration, we made some adjustments to our inventory value and that some of those totaled $26 million. So that was a very large impact on the expense side. In terms of SG&A, I think the two biggest places where we saw an impact were really in advertising per car sold and compensation and benefits per car sold. The way to think about both of those is, you know, Q4 and then early Q1 or the first couple months of Q1 is a big investment period for us as we invest in staffing and invest in marketing in preparation for one of the busiest times of the year, which is tax season. And so, this year we made those significant investments, but then demand in March was nothing like what we anticipated for obvious reasons related to COVID-19. And so, we certainly saw elevated levels of compensation and benefits and advertising expense per unit relative to what we otherwise would have expected. We also saw elevated levels on a per unit basis and the other expense line items, but those were the biggest two.
Brian Nagel: That's very helpful. I appreciate it. And then my follow up question, as we look at this – the rebound in sales you called out here in Q2, so congrats on that. The question I have is, you know, and again, I understand it's fluid right now, but is it – are you seeing just – is it just a more of a return to normal your normal customers coming back? Or is there some type of shift within that that the demand is returning? And then the second is, is it ramping? Or is it continuing to ramp here? Or is it basically just reset back a bit?
Ernie Garcia: So I think there are many different data sources that you can look at to try to get a sense of what sales looks like across the industry in April and in the last several weeks. And I think many of those datasets circle around the same answers, but don't precisely agree for used car sales. I think they range from estimates of the entire month of April being down 55%, give or take, to as little as 45%. And in more recent weeks depending on what data set you're looking at maybe down 35% to maybe only down 20% to 25%. So I think those would be the estimates of what's happening in the industry over the last several weeks. In the month of April, as we said, we troughed that approximately down 30% year-over-year early in the month. We then came back very strongly to end of the month barely down year-over-year at all. And in most recent weeks have been up, 20% to 30% have seen pretty healthy, steady, consistent growth over the last several weeks. So, it's clear that we are outperforming the industry based on all the data that we look at. When we look at the demographics of our customers and kind of try to get a sense of where that share may be coming from, our demographics were pretty broad based before. And so, there are maybe some, some very subtle differences that we're able to observe, but I don't think any of those differences are strong enough to where we have certainty that there is real information in them or certainly that they would be worth calling out on this call. So I think in general it feels like it's been a broad-based improvement. There have been surveys out and there's – a million of these surveys out – so you can, you can look at many different ones, but one that came out several weeks ago that was put out by CarGurus prior to the pandemic one of the questions they asked customers was something along the lines of would you consider buying a car online? And at that time, something like 32% of customers raised their hand and said I would consider doing that. Several weeks ago, which – we’re still relatively early in all of this, but several weeks ago that number had jumped up to about 61% of customers said they would consider buying a car online. So, we do think that in this new environment, we have a very, very desirable offering. And so, we think that bodes well for the medium term, but undoubtedly the market –the entire industry took a big surprising, unexpected hit in late March and April. And I think now we're marching back pretty steadily. And I think if you take these lines and extend them out, I think they suggest pretty exciting next couple of quarters in several respects. But we think that there is still a fair amount of risk left. We still won’t have a permanent solution for the virus. We still don't really know the degree of the economic impacts. I think there’s a number of micro impacts in automotive that we're watching very carefully. We called out at our prepared remarks. So I think we are enthusiastic about the response that we've seen and most importantly, honestly, the way that the company has responded to all of this. But I think we're still trying to make sure that we're looking at the future through the lens of different scenarios and making sure the businesses is flexible and able to adapt quickly to different scenarios as we're not sure exactly what you expect out of the next several months.
Brian Nagel: Got it. That’s very helpful. Thank you.
Ernie Garcia: Thank you.
Operator: Our next question will come from Sharon Zackfia of William Blair. Please proceed with your question.
Sharon Zackfia: Hi, good afternoon. Could you give us any perspective on what retail GPU might have looked like for you in April as you were kind of unwinding the inventory? And then secondarily on the finance business, I mean, obviously the end of March was really rough. How do we think about finance revenue per car kind of going into the second quarter and the rest of the year? Should that normalize back towards levels that look more similar to last year? Or is there something else that we should consider as kind of hampering that?
Ernie Garcia: Sure. Let's start with retail GPU. So I think first and foremost, I think we were very pleased with retail GPU. And I think absent coronavirus, it would have been higher still, but we do that as a very healthy number. It was marginally impacted by our choice to stop purchasing inventory in late March. It's something that's kind of always happening in our retail GPU and flowing through our financial statements is that you're constantly buying cars. And if you buy those cars, those cars get reconditioned at the inspection reconditioning centers. They get put on the site and then they have some probability of being sold in any given day. The cars that you put up that are sold quickly tend to have higher margins and the cars that take longer to sell tend to have lower margins. And so when you stop buying cars, you're kind of freezing your inventory and time and that inventory starts to age out. And so, all else constant, the average margin that you observe flowing through the income statement is going to drop because time is moving and cars depreciate with respect to time. And so, I do think that probably had a marginal impact that would likely be a larger impact in the second quarter than it was in the first. If you just kind of run a very simple mental model of saying you don't buy any cars in the quarter then on average your days of sale would go up by approximately 45 days. We're selling those cars through out of 90 day quarter. And so you can kind of do the math on what would happen there. We are starting to now turn purchases back on given both the stability that we're observing in the wholesale markets or at least the relative stability that we're observing in the wholesale markets and the strong demand that we're seeing as well as the fact that we've now brought our inventory down and reduced our exposure there considerably. So that will provide an offset to just that depreciation, but that is an impact in Q1 and is likely to be a larger impact in Q2. As we think about finance revenue per car, I think, I'll start with we're extremely pleased with how our finance platform held up in this environment. We went and did our first non-prime securitization in the quarter. We did that in an extremely turbulent market, but we did get that done before markets shut for a short period of time. And so, we did not get the premium that we were expecting or likely would have gotten in previous periods, but we still got a very solid premium and we're pleased with that. And then, we pivoted as securitization markets closed for a short period of time. And instead of doing a prime securitization, we sold those loans to our forward flow purchase agreement as would be expected in this new environment when kind of yields are moving up and spreads are moving up and loss expectations are moving up. The premium we received was less than we might have otherwise received, but it was again a premium that we were pleased with. So to me, I would view that as actually an excellent test and a sign of resiliency of the finance platform. We certainly wish it would have been as high numbers as it was in Q4 and always do and believe that it will continue to go up even from the Q4 levels. But I also think that that number represents a very strong number compared to what the traditional dealership model gets. And it also represents a relatively small decrease relative to what many finance models that would take charges to credit being held on balance sheet would take. And so, I think, you know, to us that's a very resilient number that we think is a great moment for the finance platform to demonstrate its strength not only in a positive scenario, but also in a downside case.
Operator: Thank you. Our next question will come from Armintas Sinkevicius of Morgan Stanley. Please proceed with your question.
Armintas Sinkevicius:
otherwise (0:36:57):
Ernie Garcia: Sure. Yes. We hit this a little bit on the last call as well. So, I think, there's basically three big buckets that you can think of as being in other. The first is technology. The second is corporate. And then there's also some transactional expenses in there. I think in terms of the way that that's grown over the last year or so, we definitely have been investing in all of those areas. And so, one of the big sources of investment in 2019 was essentially building almost from scratch, this business of buying cars from customers, that definitely impacted all three of those big buckets that I just walked through. That was a major innovation and a major adds to the business in 2019. And so, it was a big, big driver of all the line items, but certainly the other SG&A line item as well. That's also true in Q1. All of those things that I just walked through are certainly be expenses that we'd be bearing in Q1. And other SG&A per car sold actually was up a little bit in Q1 despite a pretty significant drop off in demand in March, but those are the major buckets. That's certainly a bucket that we expect to lever significantly over time as we march forward our long-term model.
Armintas Sinkevicius: Okay. And just for the first quarter, every single line item in SG&A was higher than the prior quarter. You mentioned some of the costs related to advertising and comp and benefits, but looking ahead to the second quarter, what levers are you pulling here to manage that what you see as an appropriate burn rate for the company? Any of these line items that we should be thinking of trending lower sequentially into the second quarter?
Mark Jenkins: Sure. Yes. So we certainly expect declines on a per car sold basis in those SG&A line items. I think where does that come from? I think a big part of the expected decline on a per unit basis is the response that we've taken to COVID-19. So in Q1, we were in a period where we were significantly investing. March is often one of our best, if not our best month of the year, which is a common in the used car industry. And so, we were investing really significantly in advance of expected busy season. And when that busy season didn't materialize, obviously, that had a significant impact on our expenses per car sold that were ultimately realized in the quarter. Of course, we do expect as I alluded to through the actions that we've taken for per car sold expenses to decline in Q2.
Operator: Our next question will come from Ron Josey of JMP Securities. Proceed with your question.
Andrew Boone: Hi, this is Andrew Boone on for Ron. Thanks for taking our question. With April sales rebounding to that plus 20% to 30% level that you guys talked about and understood things are yet to kind of normalize, but with significant share gains that you guys are seeing, can you talk about kind of what the recapitalized balance sheet, why you guys aren't leaning into advertising more? Is there a change in ROI? Or is there something else there? And then secondly, just kind of a big picture question. So, Ernie, the way that you've built this business is really a fixed cost model. As you go through something like this, does this make you want to push more costs to a variable model? Or do you think about that any differently? Thank you.
Ernie Garcia: Sure. So what I would say is that I think – I would start with we're extraordinarily happy with the way the last several weeks have gone from a demand perspective. We're being a 20% to 30% year-over-year – after being down 30% year-over-year to several weeks before is a pretty dramatic reversal and has us back to pretty significant levels of sales. I think as you look forward, what we're trying to do is we're trying to balance of the uncertainty that remains in the industry and the economy and with the virus, with the upside potential that we clearly see. And I think that has us monitoring many different things very closely. We've talked a little bit about how we're monitoring the inventory prices in markets. We're definitely monitoring the credit markets. We're clearly very closely following demand that we're seeing on our website. We're paying close attention to marketing costs. We're trying to get a good handle on all of those things. We're trying to make sure that we move forward in ways that we believe allow us to take advantage of the situation when it's positive, but also ensure that we cut off the worst downside cases if things do turn a little bit negative. And I think that's an equation that we're trying to balance really carefully because we do feel like while trends are very positive, it is still entirely possible that we're in the somewhat early stage of this. And we want to make sure that we get a good look at it before we make sweeping moves. But we will be monitoring all that and we have been making changes very rapidly. And I would anticipate that we will continue to make changes very rapidly as information becomes available. I think this business is designed to swap variable costs for fixed costs relative to the traditional model. And we think that is absolutely the right move. And in no way, shape or form would we want to change that at all. I think, the degree to which that ends up being the right choice is a function of the size of the business that you believe you can ultimately build. And prior to this, we believe that that we could build a business that would sell 2 million plus cars per year and that that would lead to us being the largest most profitable automotive retailer. And I don't think we have any information that would cause us to question that in any way, shape or form. I think if anything that the information that's changed would potentially make us more optimistic about the speed to getting there or even the possible ultimate upside. So I think we feel very good about the way we've designed the business and think it positions us incredibly well to continue growth. I think we've also demonstrated a lot of flexibility in the model. This point is right that we've built a business that’s setup have higher fixed cost and lower variable costs. That's an incredible setup when you're growing very quickly. And when you're looking at the long-term with these large market shares, that's a really tough setup when you're looking at a discontinuous demand shock, like the one that we just saw over the last five or six weeks. But I think the business also demonstrated its flexibility and our ability to pull levers and kind of size it down and pulling our wings and adjust quickly to a lower demand environment. And then it's shown its ability to spring back up over the last couple of weeks. So we feel great about the business that we designed and think if anything the future is brighter.
Andrew Boone: Thank you.
Operator: Our next question will come from Rajat Gupta of JPMorgan. Please proceed with your question.
Rajat Gupta: Hey. Hey, good evening. Thanks for taking my questions. I just had a couple follow-ups on the finance GPU questions. Could you have a break out? What’s the difference in financial GPU was in 1Q between the forward flow and the non-prime ABS deal? And related to that moving into the second quarter and beyond, is the plan still to monetize a majority of the loans through Ally in the near-term? Or have you seen any change in the environment in the ABS markets that that you might want to tap into – in the second quarter as well? And then like what kind of impact – do we expect a similar kind of premium in the second quarter as well overall as you saw in the first quarter? And then I have a follow up. Thanks.
Ernie Garcia: Sure. So at high level, what I would say is, on both pools we – we received a premium on both pools. It was less than we would have anticipated prior. We historically haven't kind of dove in at greater detail than that. And so, I don't think it's our now, but generally speaking, those pools, we tend to monetize it at somewhat similar levels. Looking forward, first I want to start with Ally. I think Ally has been an absolutely tremendous partner for us and reacted very quickly with us when we saw – the difficulty that was emerging in the economy generally and as a result of the pandemic and also in credit markets and worked with us to upsize that forward flow purchase agreement to $2 billion agreement of – as you'd expect in this environment, they're going to do better financially on those loans they originate as they should a) because the environment, b) because they were there for us to make sure that we can massage out that risk, which we're extraordinarily grateful for. So they will do better and that will all else constant impact finance GPU over the coming quarters, a quarter or two. That said, the market also tends to react and interest rates move – and the interest rates that we're able to charge in the market may offset that. It's hard to know exactly what's going to happen there. Looking into Q2 and trying to figure out exactly what finance GPU is going to be is definitely difficult. I don't think we have perfect clarity there in any way, shape or form. We wouldn't anticipate our best guess with fairly wide uncertainty bars around, it would be for it to be somewhat similar to what it was in Q1. The securitization markets have begun to open up again. There have been several deals done over the last couple of weeks. And there's anticipated to be many more deals done over – over the next several weeks. And so, I do think those markets are opening up and the ability to monetize receivables seems to be improving. So I think there – there are reasons to be optimistic there, but I also think that that remains an area where it's wise to kind of expect the unexpected there and plan for a little bit of uncertainty. So I don't think we want to give you precise expectations for what that will look like in Q2.
Rajat Gupta: That's a great color. Thanks for that. And then just more of a housekeeping question. Did the other expense line item that that was up materially, I believe some of that was due to the loss on the beneficial of interest in securitization. Was there anything else that went into that that’s material to call out? And also is that part of the $26 million non-cash that you talked about as well? I just want to clarify that. Thanks.
Mark Jenkins: Yes, that was that – that $17 million is part of the $26 million. That's the larger portion that I was referencing earlier and then that that $17 million is related to these financial receivable related assets. The biggest part of that is retained beneficial interest in securitizations. And then there's a portion that's another finance receivable asset bonus payment essentially.
Rajat Gupta: Got it, got it. So, basically, the – so $9 million was the impact on like just the retail and wholesale GPU, but the rest is mainly finance driven?
Ernie Garcia: That's correct.
Rajat Gupta: Okay. Thanks for clarification and good luck.
Ernie Garcia: Thank you.
Operator: Our next question comes from Rick Nelson of Stephens. Please proceed with your question.
Rick Nelson: Thanks. Good afternoon. I would like to follow up on this dramatic shift from sales declines early in April to the increases that you are seeing later come up. It seems much more dramatic than what's happening in the overall used car business and I am curious about GPU. Were there – changes there stimulus checks to that impact the 90 day promotion? How you think that impacted?
Ernie Garcia: Sure. So I think those are among the things that are difficult to disentangle. I think we saw a rapid demand shock that that pushed sales down. And then I think from there, we implemented the 90 day promotion. We've put out different marketing materials that are tailored to this moment to reach out to customers through these less expensive marketing channels. The stimulus checks were received by customers. There seems to be general recovery happening in the market. And so, I believe there are number of forces that are flowing through there, that are difficult to separate. I think, what we're excited about is it does seem clear that that we are outperforming the market generally in terms of the severity of the decrease in sales and in terms of the speed with which sales are climbing back up. And so, I think we're excited by that. And we think that that speaks to these shifts in customer preferences in our direction. But trying to disentangle the other impacts I think is too difficult for us to – to want to take a swing at that.
Rick Nelson: Okay. Okay, got it. And I'm also curious to reduce kind of retail inventory exclusively through the website? Or do you use that wholesale channel to liquidate auctions or other wholesalers?
Ernie Garcia: Through the website.
Rick Nelson: All through the website, great. Thanks and good luck.
Ernie Garcia: Thank you.
Operator: Our next question comes from Nick Jones of Citi. Please proceed with your question.
Nick Jones: Hi, thanks. Thanks for taking my question. I guess one on the competition that you put into the CarGurus survey and so undoubtedly that's a marketing tool for them to try to get other dealers to start delivering. Have you changed your views on what competition is going to do to kind of the new way to sell cars? It seems like you might have more entrance now after this. Do you have any updated thoughts there? Thanks.
Ernie Garcia: Here's what I would say, I think across the economy, across different retail verticals and certainly in automotive, I think there seems to be a broadly held expectation that that e-commerce will be a relative outperformer during this time and coming out of this time. And so I don't think that that's a secret. I think the survey that that came from CarGurus is one of many surveys like it as this is clearly a very topical point to at the moment. So I think what we would start with is we think that's really, really good news. I think, the first order impact of consumers wanting to transact in the way that we've specialized for the last seven years is a big positive. And then I do think that to some degree you do need to then think through the second order effect, which is others being more inclined to try to build similar offerings to the offering that we've built. And so, I think, our expectation would be that that will likely happen. But I think that was already happening to some degree [indiscernible] that will likely happen debatably more now. I think, it's important to look at the market generally. This is a market with tens of thousands of dealers where the top a hundred players have on the order of a 7% or 8% market share. So it's an enormously fragmented market. It's a very large market depending on your definition on the order of a trillion dollar market. So, it's really, really large. And so, we think that that also points to the direction of not becoming overly competition focused because there are just so many small competitors as opposed to one or two large competitors as there generally are in many of these other industries. We spent the last seven years investing in the technology that gives customers a great experience online and investing in the supply chain that that great online experience unlocks, that delivers selection to customers and building a brand for doing exactly that. And building e-commerce business is inexpensive undertaking. It takes a lot of time. It takes a lot of money. This is clearly visible across industries. And it's hard. It's a hard thing to do. So I think, would we expect more competitions as a result of all this? I think the answer directionally would be yes. Would we view the underlying driver of that competition that consumers are more excited about buying cars online that that transition has been accelerated as a much bigger positive than the increase in competition is potentially negative? Absolutely. So I think, overall, we're feeling very optimistic about the long-term impacts of this.
Mark Jenkins: Or at least the medium term.
Ernie Garcia: Longer term impacts of this – yes, from a long-term perspective it's hard to know exactly this will play out.
Nick Jones: Great, thank.
Ernie Garcia: Thank you.
Operator: Our next question comes from Mike Montani of Evercore. Please proceed with your question.
Mike Montani: Great. Thanks for taking the question. The questions I had are along the lines of two different areas. One would be with the Ally deal in place now, just trying to get a handle on the magnitude of profit pressure that we might anticipate on kind of like for like loans. And is that something that would remain in place over the course of the next year? And then there's a follow up.
Ernie Garcia: Sure. So I don't think we'd want to quantify that right now because I think what happens in an environment like this is several folds. Loss expectations tend to go up, which all else constant would reduce premiums. The yields that risk takers expect to earn tend to go up, which all else constant would reduce premiums and then consumer interest rates tend to go up as well, which all those constant tends to increase premiums. And the balance of those things is a little bit hard to predict. Historically, the value of loans originated through automotive retailers and finance companies, that kind of combined stack has been fairly stable. So our expectation would be for that to convert back to where it was prior to this and then continue its upward journey from there. I think the exact timing of all that is unclear. I think whether the next step is a positive one or negative one is unclear. But we've definitely taken steps to try to make sure that the loans originating are very desirable loans. We've tightened credit pretty significantly, going into this in an effort to make sure that we were positioning ourselves conservatively. We modeled the way that we were tightening credit off of the way that credit was ultimately tightened and performed in the 2008 to 2009 financial crisis. And so we made the assumption that losses will deteriorate a similar degree. That's a more severe assumption the most rating agencies are making the securitizations that are getting done today. We made the assumption that investor yields would go up to where they were, the 2008, 2009 crisis. That seems to be similar to or more severe than the implied yields that seem to be clearing in the securitization market today, although, that is a volatile market.  So I think in terms of what we're originating, we feel very good about it. We feel like we thought carefully about what we wanted to do to credit. We believe that tight credit in those ways has likely reduced our overall volume by something on the order of 25%, which is very, very significant. And I think also speaks to how strong the demand is that we're seeing. Because we – from all indications it seems that we have likely tightened credit more than the rest of the industry has. And so absent that tightening, we may be performing even better. But we've made those moves to ensure that we're positioned defensively as we continue to monitor what's going on and then we'll figure out what the right move – what the right next move is from here.
Mike Montani: Okay, great. Thanks. And if I could, just some additional color on the wholesale front, just curious to see what you all are finding in terms of pricing over the past couple of weeks on the wholesale pricing. And then what's the read through for that in terms of two areas. One would be GPUs. So should we anticipate any further kind of mark-to-market adjustments on GPUs in Q2 or if you assume kind of current trends persist, that 1Q mark down was enough. And then the second question would be on the consumer side and the trade-in side, is 70% and 40% ratios kind of good to go again now given that you guys are once again in the market and purchasing cars for consumers or are you trying to be more deliberate and not scale that up as quickly as it was?
Mark Jenkins: Sure. I'll take the question on wholesale GPU. So we don't expect any of the adjustments that we talked about earlier to recur in future periods. However, I do think it's reasonable to assume that wholesale GPU will be lower than a normalized level in Q2. I think there's still an awful lot of uncertainty around how exactly the wholesale market is going to evolve from here. I think we started to see some volume come back but certainly not at normalized levels yet. And so I think, we'll see what happens in the market. But there's certainly a lot of uncertainty right now. And I think a reasonable expectation is that Q2 will be lower than normalized levels.
Ernie Garcia: And then as it relates to the customer source of vehicles, I think neither of the 70%, which was the percentage of cars that we are buying relative to number of cars that we are selling, nor the 40%, which is the percentage of cars that we’re selling to customers that were previously bought from customers. Neither of those numbers were our long-term goals. And both of those numbers were on steep positive trajectories heading into this. We did pause purchasing through all channels except for customer trade-ins, early in this cycle. And so that will clearly push down that 70% number, just directly because we're not buying cars, we are selling cars that just kind of mechanically drops at least in a transitory way. And then the 40% number is a function of, when we turn purchasing back on what ratio of purchasing is coming from customers versus what is coming from other sources. And I think that there is uncertainty in what that ratio will be in the near-term, in the medium-term. And long-term we would expect it to go back to where it was before and to continue to decline because buying cars from customers is the most fundamental, the most economic source of cars that there is. And so that's where you want to be buying cars. Given the dramatic moves in the market, buying cars from customers is effectively happening in a much less liquid market where you have a single seller selling a single car once every many years, whereas the wholesale markets are much more liquid. And so if you have rapid price disruptions, those wholesale markets tend to virtually instantaneously adapt to that new environment; whereas the consumer market tends to be a little stickier both directions. And so we will be monitoring both of those markets. And getting a sense of where the better market is to acquire inventory in the near-term. But in the medium and long-term, our expectations would be to march back to where we were and continue from there.
Operator: Thank you. Your last question today will come from Brad Erickson of Needham & Company. Please proceed with your question.
Brad Erickson: Hi guys. Thanks. I have a couple of follow-ups. Ernie, you were just kind of talking about a little bit on the auction, the wholesale area, but just wanted to go a little further. What needs to happen really before those physical auctions can function normally again, and just kind of how vital that is for you to have enough inventory to keep driving growth? And then I have a follow-up.
Ernie Garcia: I think the auctions are functions fairly normally, again, in the sense that you can buy and sell cars and the volume is on the order of half of what it would have likely otherwise been if it weren't for all of this. Prior to this, the majority of buyers to many of the larger auction houses were already buying cars online. And so many, many more buyers have moved to buying cars online, but the auctions are functioning. And so I don't think that is a fundamental limiter to moving back to whatever levels we would like to in terms of acquisitions. I think the thing that we want to be careful about is our expectations for what's going to happen to prices. Prices have stabilized and started to recover. But there are still reasons to believe that prices could drop again. There are many sellers that sellers or shadow sellers that are out there that have not moved inventory yet. And so we want to be mindful of watching that carefully and getting a sense of what that's going to do to the market. And so that's something we're keeping a careful eye on. And that's part of why we've made the decision to manage our inventory levels down and reduce our exposure there. Now the opportunity is also extraordinarily large because the wholesale market has dropped pretty significantly in most recent weeks down probably on the order of about 12%. And the retail markets have only dropped a couple percent. So the implied wholesale retail spread is much, much wider on the order of 9% wider than it normally is. And that does generate a lot of opportunity because it suggests that there are much larger margins that are normally available for the taking there. And so we're trying to balance the risks with the upside opportunity and I think all that coming together into our strategy that we've been discussing on the call.
Brad Erickson: Got it. And then just one last one and I apologize if you touched on this earlier, I jumped on late. But can you just give any sort of, this is a question really for Mark. Can you give any sort of EBITDA loss expectation for the year under some plausible scenario of the business, where to stay, where is at today with the April growth rates? Just any guardrails as to how to think about that or even like on a basis where, what level of the business would have to be at from here to be, say EBITDA breakeven might be another way to get at, any help on that, Mark, would be great. Thanks.
Mark Jenkins: Sure. Yes. So I think I'll start with Q2. And I think maybe a way to summarize some of the directional things that you should be keeping in mind as it relates to that question. And a lot of these we've hit on, on this call so far. So we do expect GPU to drop somewhat meaningfully from Q1 to Q2 as a result of some of the dynamics that we were talking about earlier on this call, particularly in retail GPU. I think we also expect expenses per unit to meaningfully drop going from Q1 to Q2. And there – I think just to give a rough ballpark of order of magnitude dropping down to sort of second half 2019 levels on a SG&A per car sold. And then we think the combination of those two things will certainly lead to reduced EBITDA dollar losses in Q2. And then we would expect things getting better from there as well.
Brad Erickson: Got it. That's great.
Operator: Thank you. This concludes our question-and-answer session. I would now like to turn the conference back over to management for any closing remarks.
Ernie Garcia: I'd like to thank everyone for joining the call. We really appreciate it. And then I also want to turn to team Carvana out there in telephone lines. Thank you to all of you for the job you've done over the last six weeks. We have crammed so much into that very short period. Everyone's been working unbelievably hard. The results speak for themselves. We've made tremendous, tremendous strides in the business and that's 100% because of how hard you guys are all working. So I truly can't thank you enough. It's admirable and we really, really appreciate it. Let's keep fighting through the rest of this. We're in a great spot. Thank you everyone.
Operator: The conference is now concluded. Thank you very much for attending today's presentation. You may now disconnect.